Operator: Welcome to the Eversource Energy First Quarter 2019 Results Conference Call. My name is Palette, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Jeff Kotkin from Eversource Energy. You may begin.
Jeff Kotkin: Thank you, Palette. Good morning and thank you for joining us. I am Jeff Kotkin, Eversource Energy’s Vice President for Investor Relations. During this call, we will be referencing slides that we, excuse me, posted last night on our website. And as you can see on slide one, some of the statements made during this investor call may be forward-looking as defined within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management’s current expectations and are subject to risk and uncertainty, which may cause the actual results to differ materially from forecasts and projections. These factors are set forth in the news release issued yesterday. Additional information about the various factors that may cause actual results to differ can be found in our annual report on Form 10-K for the year ended December 31, 2018. Additionally, our explanation of how and why we use certain non-GAAP measures is contained within our news release and the slides we posted last night and in our most recent 10-K. Speaking today will be Phil Lembo, our Executive Vice President and CFO. Also joining us today are John Moreira, our Treasurer and Senior VP for Finance and Regulatory; and Jay Buth, our VP and Controller. Now I will turn to slide two and turn over the call to Phil.
Phil Lembo: Thank you, Jeff. Today I will cover our first quarter 2019 financial results, an update on key regulatory dockets and recent developments concerning our offshore wind partnership with Orsted. Starting with the quarter in slide two, we had a very strong start to the year, earning $0.97 per share, compared with earnings of $0.85 in the first quarter of 2018. Earnings improved in each of our three largest business segments, Electric Transmission, Electric Distribution and Natural Gas Distribution. Transmission earnings were $0.37 per share in the first quarter of 2019, compared with $0.34 last year. The improvement is due to the increased level of investment in our transmission facilities. In the first quarter of 2019 core utility transmission capital expenditures totaled $199 million and we continue to forecast core utility transmission investments of nearly $1 billion for the full year. Our Electric Distribution segment earned $0.38 per share in the first quarter of ‘19, compared to $0.33 last year. Most of that increase is attributable to the outcome of the recent Connecticut Light & Power rate case and lower O&M costs at NSTAR Electric. In addition to the base rate increase, CL&P was allowed to make increased levels of investment to make our system more resilient and to recover related costs through trackers. Those benefits were slightly offset by the absence of $4.3 million at PSNH related to generation earnings in 2019. As you know we divested these units in 2018. Our Natural Gas segment earned $0.24 per share in the first quarter of ‘19, compared with earnings of $0.18 in the first quarter of 2018. The increase was primarily related to the outcome of the Yankee Gas rate case settlement that we achieved last year and the implementation of revenue decoupling at Yankee Gas. It’s important to note that under decoupling, we recognized higher revenues during peak usage periods like the first quarter of 2019 and we will have lower monthly revenue targets in the lower use periods like the second and third quarters of the year. Aside from the implementation of decoupling, our Natural Gas segment benefited from tract investments related to our expanding program to replace cast iron in unprotected steel pipe. We continue to expect those investments to total approximately $160 million across both Massachusetts and Connecticut in 2019, and this is up from $117 million last year. While segment results were consistent with last year and our expectations for 2019, our Parent and Other segment lost $7 million in the first quarter of ‘19, compared to a loss of only $1.4 million in the first quarter of 2018. This was due primarily to higher interest expense, the results of -- resulting from higher short-term rates and the refinancing of some long-term debt at higher interest rates. I should add that you may have noticed on our income statement that our effective tax rate for the quarter was 21%, compared to the 23% to 24% rate we had forecast for the year. The difference is related to how we accounted for the returning to customers of excess deferred income tax collections and it’s likely to remain at that level for years, assuming corporate tax rates are unchanged. You should not expect that the lower effective tax rate will have any improvement on our net income. Moving on to -- from earnings discussion to key operating performance results, our continued intense focus on safety continues to show strong results. Our record is among the best in the industry to-date with our safety rate, commonly known as DART is less than 0.7. Our Electric reliability continues to trend very strong with months between interruptions at nearly 18 months. We are nearly perfect in our goal of responding to natural gas emergencies within target timeframes. We are also doing better than our own targets in terms of diversity and our internal sustainability targets. Turning to recent regulatory activity, you would probably recalled that three of our largest distribution jurisdictions have recently implemented multiyear rate plans that provide us with significant visibility for those distribution businesses for many years into the future. As you can see on slide three, last week we filed a request to implement temporary rate increase at Public Service of New Hampshire. The base electric distribution rates would total $33 million effective July 1st. Later this month we expect to file a request to increase permanent rates on July 1, 2020 by an additional $37 million, above the temporary rates. Public Service of New Hampshire last sought an increase in base rates approximately a decade ago and since then our operating costs have remained essentially flat over those 10 years, while our reliability has improved about 40% and is now in the upper tier among medium-sized electric utilities in the East. Improved service has been driven by more than $1 billion of investments over the past decade, while keeping operating and maintenance expense flat since our last distribution adjustment. It’s truly been a great result for New Hampshire customers. From electricity, I will move to water. On April 22nd, the town of Hingham, Massachusetts voted to purchase the assets of Aquarion Water Company that served the town of Hingham and the neighboring towns of Hull and North Cohasset. The purchase price is expected to be more than $100 million. The Hingham system represents the largest part of Aquarion Massachusetts assets, but only about 5% of Aquarion’s total plant. About 90% of Aquarion’s operations are in Connecticut. While we are disappointed with the outcome of the vote, we were aware that this effort by Hingham was underway when we successfully acquired Aquarion. We continue to see additional growth opportunities for the water business in the future. The town has indicated that it hopes to close the transaction before year end. We will continue to work with the town for an orderly transition. As part of the process, we will determine the final purchase price and the use of proceeds, but we are confident that the sale will not result in any loss for Aquarion. Turning to financing, CL&P issued $300 million of bonds maturing in 2048, at an all-in rate of 3.85%, proceeds were used in large part to pay off a $250 million, 5.5% coupon maturity in February. In terms of equity, I noted in our year end call that we expect to issue approximately $100 million of treasury shares annually for the next five years, through our dividend, reinvestment, employee stock purchase and 401k match plans. Through April, we have issued about 575,000 shares through those plans this year, again that’s four months through April. We also noted that on our call, we plan to issue an additional $2 billion of equity through 2023 to fund our nearly $13 billion core regulated business capital program and our existing offshore wind partnership with Orsted. This new equity is incorporated in our expected 5% to 7% EPS growth rate. As I said in February, we expect to be opportunistic about the equity issuances -- issuance over the forecast period. Slide four provides you with an update on where we stand with our contracting for offshore wind in New England and New York. As you can see, Massachusetts is required by statute to issue more -- a new RFP for 400 megawatts to 800 megawatts by midyear. The Department of Public Utilities is also evaluating whether to double that initial authorized 1,600 megawatt offshore wind procurement to a total of 3,200 megawatts. In Connecticut, PURA last year approved a 200-megawatt contract with Revolution Wind and we expect an additional 100-megawatt contract to be filed in the second quarter. Additionally in Connecticut, the legislature is considering proposals to add another 1,000 megawatts to 2,000 megawatts of offshore wind RFPs. The session ends in Connecticut in early June. In Rhode Island, the PUC approval process is underway for 400-megawatt contract between Revolution Wind and the local Rhode Island distribution company. We expect a decision on the contract in June. In New York, bids were submitted February 14th into a New York RFP for at least 800 megawatts of offshore wind and we continue to await the results of that. We continue to be very positive about offshore wind, zero carbon and the economic development benefits that all of these projects will bring to our region. We also expect the projects contracted thus far to provide a very significant source of earnings and cash flow growth, as the offshore wind turbines enter service in late 2022 and 2023. When these units enter service we expect our earnings growth rate of 5% to 7% to move appreciably higher as a result. Now I will turn the call back to Jeff for Q&A.
Jeff Kotkin: Thank you, Phil. And I am going to turn it back to Palette just to remind you how to enter the queue for Q&A.
Operator: Thank you. [Operator Instructions]
Jeff Kotkin: Thank you, Palette. Our first question this morning is from Mike Weinstein from Credit Suisse. Good morning, Mike.
Mike Weinstein: Hey. Good morning. Hey. On the water deals, are there any other municipalities that are in the same boat that are considering a purchase of their systems?
Phil Lembo: No. They are not. In fact the -- there was a special provision in the late 1800s, when Hingham was first sold to the utility at that time. So there are no other similar provisions in other cities.
Mike Weinstein: And I am sorry if I missed it, did you say how much, like, what kind of ballpark proceeds you expect to get and were you intend to use those proceed?
Phil Lembo: Yeah. I did. I did. With the final price tag has to be determined to account for capital additions since certain time periods, but we expect it to be more than $100 million.
Mike Weinstein: Is that something that could potentially reduce equity needs or is that something you already contemplated in your plan?
Phil Lembo: Well, the vote just happened in April. So it’s certainly something that we would factor into our ongoing needs in the future.
Mike Weinstein: Right. So it’s not, I mean, it doesn’t affect the $2.5 billion expectation of equity?
Phil Lembo: It’s a small amount. It’s $100 million. Certainly, it’s a positive benefit to our cash position.
Mike Weinstein: Got you. Okay. Also can you comment at all on, I guess, the -- how offshore wind proposals are coming along, especially in New York at this point, I think, New York is supposed to be announced soon, is that your expectation?
Phil Lembo: Yeah. That is our expectation that -- as we have stated, announcements should be soon, that’s our expectation.
Mike Weinstein: Is it going to be within a couple of weeks, have they indicated at all when they will come up with an announcement?
Phil Lembo: I think they are on a schedule that fits sort of their internal needs and requirements. I do think that the decision will be coming in the near-term, but I don’t have a specific date for you, Mike.
Mike Weinstein: Also as -- my last question is part of the -- what part of the equity plan that you have is specifically for offshore wind. I understand the majority of it is for the core capital plan, but how much of that $2.5 billion of equity is needed for offshore wind specifically?
Phil Lembo: I think as we stated in our previous call when we announced it for the year end call that it really our capital plan the $13 billion investment in the offshore wind is all part of our total investment plan and we have not specifically allocated a certain amount of equity need to each of those specific areas, but it’s really a total need that Eversource has to execute on the plans going forward. And I will just want to reiterate too that, as I said before, we expect to grow the earnings -- with this additional equity need already included in that, we expect to grow the earnings of the Company long term 5% to 7% and somewhere in the middle of that range. So, but the specific allocation to each bucket we have not determined.
Mike Weinstein: Okay. All right. Thanks a lot.
Phil Lembo: Thanks, Mike.
Jeff Kotkin: Thanks, Mike. Next question is from Insoo Kim of Goldman Sachs. Good morning, Insoo.
Insoo Kim: Good morning. Just one question on the potential regulated investments not in the base plan like the grid mod in Connecticut and potential gas safety spend that may come out in Massachusetts. Any updated thoughts on timing and scale of those?
Phil Lembo: Good morning, Insoo. There really isn’t any definitive update in terms of timing. I will say that one of the areas that we talked about was grid mod spending in Connecticut and just recently a new PURA Chair Marissa Gillett was took her seat as the Chair of that commission. So we would expect sort of the procedure there on grid mod to start moving forward. I don’t have a specific date for it, but that is a new point of information since our last call. Other than that there really isn’t a specific timeframe. We will file our updated plan for three-year plan in Massachusetts next year and the New Hampshire proceeding is sort of underway, but no specific timeframe there. So other than the new PURA Chair, which should move things along we think in Connecticut, there really is no new dates.
Insoo Kim: Understood. That’s all I had. Thank you.
Phil Lembo: All right.
Jeff Kotkin: Thanks, Insoo. Our next question is from Caroline Bone from Deutsche Bank. Good morning, Caroline.
Caroline Bone: Hey. Good morning, guys. I was just curious and apologies if I missed this, I was just a couple of minutes late dialing in. But could you kind of quantify how much the implementation of decoupling in Connecticut added to the Q1 results. I mean I guess you had $0.05 up from natural gas revenues and I was just curious how much of that was the decoupling implementation?
Phil Lembo: Yeah. So you didn’t miss it. I did indicate that the decoupling mechanism really provides the way it’s implemented sort of a more of an uplift in the periods where there is high usage and high demand. So that would be like the first quarter and lower revenues in the second quarter and third quarter where there are lower usage for gas in a system.
Caroline Bone: Okay.
Phil Lembo: I would estimate that that’s probably $0.03 to $0.04 in the first quarter that…
Caroline Bone: Okay.
Phil Lembo: … wouldn’t have been -- could have been considered in other quarters before the implementation.
Caroline Bone: Got it. That’s very helpful. All right. And then the other thing I was just kind of noticing that you guys have a lot of short-term debt outstanding or at least you did at the end of Q1. How much of your capacity have you guys used up?
Phil Lembo: We generally try to keep our outstandings about half of what we have capability for. We do have a number of financings planned for the rest of the year. So I would -- there are ebbs and flows Caroline. We don’t -- we try not to be in the market all the time. But build up a certain critical mass and see if there is a maturity that we can then do that along with terming out some short-terms. So I would expect that from time-to-time the levels move up, sometimes it’s less, but usually we are at about 50% of our capacity.
Caroline Bone: Okay. And so you would -- so that might -- that balance might come down a little bit, but you kind of feel comfortable with where it is?
Phil Lembo: Yeah. I would expect it to come down.
Caroline Bone: Okay. All right. That’s it for me. Thank you.
Phil Lembo: Thanks, Caroline.
Jeff Kotkin: Thanks, Caroline. Next question is from Shah Pourreza from Guggenheim. Good morning, Shah.
Shah Pourreza: Hey, guys. Just real quick on Mike’s question on the equity, obviously, you guys are going to be opportunistic. But are you sort of more prone to layer in the equities as the wind spending starts to really ramp up in the 2020, ‘21 timeframe, I mean, obviously the allocation is going to be different and you have your internal plans to finance some of your base business, but just from -- as we are thinking about the ramp up of the wind spending and the allocation of that equity.
Phil Lembo: I think our proposal is consistent with what we talked about last time, which is that we will be opportunistic over the five-year period and things we would look at are what the cash needs are, what the market conditions are, et cetera. So not being specific as to what specific timeframe that will happen over, but those are some of the considerations we would use, the cash needs, the market conditions and that type of things.
Shah Pourreza: Okay. Got it. And then just, Phil, could you just repeat what you alluded or what you kind of highlighted around your growth rate as the wind spending starts to really kick in and they go in service?
Phil Lembo: Yeah. What I said was that once these units, we have units that come on -- come online in 2022 and 2023. And we are very positive about the contribution that can make and when they enter service we expect the earnings growth rate of 5% to 7% and to move up appreciably higher as a result.
Shah Pourreza: Okay. So not within the band but incremental to the 5% to 7%?
Phil Lembo: That’s what I said, yes.
Shah Pourreza: Okay. Great. And then just lastly, maybe just a quick update around Northern Pass, I mean, obviously, you have had some change in leadership, in governors and there was -- has been a big proponent of the projects, so maybe just a quick update on sort of the status there?
Phil Lembo: The status of Northern Pass is it’s in the court now in New Hampshire -- at the New Hampshire Supreme Court. On May the 15th there will be oral arguments in the case. We have already ahead of that obviously parties have filed briefs in the matter. So on May the 15th it will be oral arguments. The court then will take all the information and deliberate on that and hopefully sometime later on this year that decision will come out of the Supreme Court. Typically when decisions come out of the court related to regulatory matters they are not sort of an up or down decision, they really are more to identify if there are points that were made that should be remanded and reconsidered by the body that originally did that. So if we are successful at the court we would expect that that were to happen, it would go back to Site Evaluation Committee with some things to reconsider in the process.
Shah Pourreza: Okay. Great. That was it. Thanks, guys. Thanks, Phil.
Phil Lembo: All right. Thanks, Shah.
Jeff Kotkin: Thanks, Shah. Next question is from Travis Miller from Morningstar. Good morning, Travis.
Travis Miller: Good morning. Thank you. I wonder when you talk about the higher earnings for the offshore wind in that 2022 and 2023 period. What does the CapEx trajectory look like to get there? Is it something that you would have to start immediately or is it something that phases in? What does it peak and how do you get there on the CapEx side?
Phil Lembo: Just to be clear, in terms of the higher earnings contribution it would be beyond the 2023 time period. We indicated that one of the contracts, the South Fork is comes online. We expect it by the end of 2022 and then the Revolution Wind turbines moving through the year in 2023. So really the -- in our current 5% to 7% guidance there is a small amount of contribution from wind. And really what I am talking about here is that beyond 2023 is where you would see that more appreciable contributions from the offshore wind. So having said that, in terms of construction, we really haven’t given specific, we said that the permitting process is probably a few years. The construction process is a few years. So in the early years you are in more of a permitting process and spending is more sort of on those legal and other costs you would expect permitting and then construction sort of ramps up at the back end of the period.
Travis Miller: Okay. And can you start booking earnings before it actually goes in service or does the earnings accounting go with cash flow?
Phil Lembo: No. You cannot. On the offshore wind there is no earnings related to the capital spending. It would be when the revenues come in.
Travis Miller: Okay. Great. That’s all I had. Thank you.
Phil Lembo: Thank you. Travis.
Jeff Kotkin: Thanks, Travis. Next question is from Andrew Weisel from Scotia Howard Weil. Good morning, Andrew.
Andrew Weisel: Good morning, guys. First question is on Massachusetts offshore wind. The law requires that Utah RFP needs to procure prices no higher than those signed in response to past RFPs. And I think most people would agree that their Vineyard offshore project was aggressive on pricing. So my question is -- my questions are, do you expect the proposed legislation to remove that ceiling to move forward and do you as a bidder think that lower costs from like a more mature supply chain would overcome the loss of those tax credits or is higher pricing inevitable?
Phil Lembo: Thank you for that question, Andrew. As you mentioned there is in the Boston Globe and other news sources, there are reports that the legislature is considering, taking another look at that provision and seeing if it, what impact that it has on future bids. Does it inhibit the bidders, is it better for the commonwealth in the long run that there some modification to that provision. So that -- that will be worked out by the legislature coming up. So there are certainly publicly disclosed discussions that type of activity is going on. I will say that depending on where you are in the bid process and you could be losing a considerable amount of tax benefit, you may have done a bid with 24% investment tax credit in mind and you get out a few years you are maybe down to half of that or it sunsets totally under the current loss. So I think that that would be a significant impact on a bid price and maybe whether or not that could be overcome by supply chain, I think, you would have to wait and see. But you have -- certainly you would have a known number of a reduction of the tax credit versus an unknown benefit from the supply chain. So I think that the loss in the long run -- the loss of the tax benefit would be significantly to the bidder.
Andrew Weisel: Okay. Thanks. That’s helpful. Sorry, go ahead.
Phil Lembo: No. I was going to say, and certainly, we all have to keep in mind that the tax benefits exist or they get extended or something happens, that in the long run benefits customers because prices can reflect that and should result in lower prices.
Andrew Weisel: Understood. My next question is on rate cases. You talked about the PSNH rate case filing and the multiyear plans. What is your latest thinking on when and where we might see the next filings pop up?
Phil Lembo: Well, I think that possibly the only real franchise that is and under in their agreement right now is at the gas business in Massachusetts. So I would expect that the next one up would be that, since it’s the only one really that doesn’t have a plan. As you know and somebody mentioned earlier, I think, Mike did earlier in the discussion there is an evaluation going on in the Commonwealth of Massachusetts, taking a look at the gas distribution systems across the whole Commonwealth. So I’d say that, you would want to wait and see what the outcome of that was, maybe there is some additional programs that have to be implemented, and certainly, you would want to know that before you prepare to filing. If you are going to have to implement new procedures, you would want to make sure you had revenue to recover that. So the next case I would expect to see, because it’s the one that hasn’t been through the process yet is in the gas business in Massachusetts. And then in terms of the timing, I would expect that to be somewhat after we see what comes out of the review that’s being conducted in Massachusetts.
Andrew Weisel: That makes sense. Then, one last one, this is probably a minor point, but the slide on the Greater Boston Reliability Solution, looks like two of the projects have slipped in terms of the approval going from 1Q to 2Q and then at project completion, it seems like a couple more will not be completed by the end of this year. Anything you can comment on what change and how big of an impact that might have?
Phil Lembo: It won’t have any impact in terms of the rate base. The capital investment plan may move for that, but the overall transmission plant and service rate base will not be impacted by those changes. I will say that, like any project that we do these days, getting through some of the citing and permitting. As you know, probably takes a little bit longer than it did five years ago and challenges and whatnot. So there are a couple of towns that were associated with the Greater Boston project that the permitting process is moving slower than we had hoped for. So we expect to fully get through those processes, but just on a somewhat delayed basis and that will not have an impact on the transmission rate base.
Andrew Weisel: Okay. Thank you very much.
Phil Lembo: You are welcome.
Jeff Kotkin: Thank you, Andrew. Next question is from Andy Levi from ExodusPoint. Good morning, Andy.
Andy Levi: Oh! Hey. I was kidding. How are you guys doing?
Jeff Kotkin: Good. How are you?
Phil Lembo: All right.
Andy Levi: I am doing all right. So a little off the number question, just on the Aquarion, I guess, one of the strategies that you had was to possibly grow that through acquisitions, and obviously, with Connecticut Water still in play, we are not sure what’s going to happen there. But longer term, if there’s not the ability to grow through acquisitions, even if smaller systems, and obviously, you just lost a system now, does it make sense for Aquarion longer term kind of stay within the Eversource family or would it be something that you would positively look at to sell and maybe not have raised as much equity?
Phil Lembo: We feel very confident about our ability to grow the water business, Andy. Not every transaction goes your away. There has been transactions that had happened over time, that we are not involved with other parties are involved with. So you are not going to win every transaction or every RFP or every item that you have out there. But we feel -- we are committed to the water business for the long term. We want to be a long-term operator of that. We see much strategic sense to that in terms of our vision to be a clean energy leader in the region and so we are in the water business for the long-term and we feel confident that we will be able to grow that business, if not -- as you say, if not with the Connecticut Water transaction that there will be other opportunities in the future.
Andy Levi: Okay. Thank you very much.
Phil Lembo: You are welcome.
Jeff Kotkin: All right. Great. Thank you, Andy. We have no other folks in the queue. So we want to thank you for joining us this morning for the call. If you have any follow-up questions give us a call or we will see you at the five conferences that start next week.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference. Thank you for participating and you may now disconnect.